Chris Pockett: Good morning, everyone. I'm Chris Pockett, Head of Communications for the Renishaw Group. And I'd like to welcome you to this live webcast presentation of Renishaw's Interim Financial Results for the Period Ended December 2021. Today's presenters are Will Lee, Chief Executive; and Allen Roberts, Group Finance Director. Before I hand over to Will, I'd like to go through some basic housekeeping for the event. After the presentation, which will last around 25 minutes, Sir David McMurtry, Executive Chairman will join Will and Allen for a question-and-answer session in which we'll try to answer as many questions as possible before we close at 11 o'clock. No questions will be answered during the formal presentation. However, you will be able to submit questions both during and after the presentation via the question icon that you can see on the control panel on the right of your screen. I'd also like to point out that all financial information given during this presentation will be in pound sterling. Thank you again for joining this webcast event, and I will now hand over to Will.
William Lee: Thank you very much, Chris. So let's take a start looking at the numbers. Really good first half for us. Revenue growth of 27%, up to £325 million, that is a record for us. We are seeing record levels of demand as those key markets that we've talked about before really strongly recovering and also the semiconductor, electronics markets remaining strong. This has been across the Board in all of our region and continuing the trends that we talked about at the last webcast. Our profit went up by 94% from £43 million to £84 million, again, a record profit for us for the first half. And this has benefited from both these strong sales and also some of the productivity improvements that we put in place a while ago. Cash up to £222 million at the end of the period. This is really driven by the strong trading performance. We have invested more in capital expenditure in the last half than we did last year and also with the dividend payment. Allen will cover this in more detail later on. Now take a look at our Manufacturing Technologies segment. We can see here really good performance, strong growth of 30%, very much similar trends the last time we spoke. So we are seeing sustained investment in semiconductor and electronics CapEx, and that's very much driving the demand for our encoder technologies. And we are also seeing in the more traditional manufacturing sectors, the need for more automation driving both need for our flexible gauging, the Equator product and also our machine tool products. What we have been asked about quite a few times in the past is what our thoughts are on the end markets for our technologies. Now, as we explain here, we have a range of routes to market and this varies quite a bit, actually, depending on the product line. So with additive manufacturing, we are selling direct to the end user, and we know exactly where they are going with products such as encoders, then we know what the equipment is, which is typically into electronics and semiconductor equipment. But with industrial metrology products, particularly the machine tool probes, the CMM probes, we are normally selling through a machine tool or CMM builder, and therefore, we are less certain on what the actual end use is. Now in the pie chart, you can see we have our estimate here for the complete manufacturing technology part of the business and that gives an indication as to what we feel the market sector split is. You see it's quite diverse. One probably worth explaining a little bit is on the precision manufacturing. Here, we have a range of subsystem, subcontractors making a range of parts, bearings, motors, sensors, et cetera, going into a range of industries and also general subcontractors making parts for a range of different industries. So the exciting thing here also is very positive long-term growth rates for the markets we are serving here, and also we have got the great technologies now and the future developments really to exploit those opportunities. So if we now take a look at the Analytical Instruments and Medical Devices segment, then we can see here, we did see a revenue drop of 10%. Looking behind that a little bit, spectroscopy, the order intake actually was strong in H1. What we did see though was a bit of delay in shipments going into China, particularly with educational facilities achieving duty-free exemption certificates. We did also see a reduced turnover in our neuro product line. We have been – really positive news here as we talked about before engaging with a number of large pharma, the trial actually that we talked about last time actually has ended. There were issues with the drug there. Positive news was that our technology, the drug delivery technology worked very well. And this sort of showed a model that we will work with pharma companies going forward. If we look here at the end market overview, so less sectors naturally here, large one dominated research here very much with our spectroscopy product line. So if we now take a look at the breakdown of the revenue by region. What we can see here which is very positive is that where we talked before about the recovery being driven by our Asia-Pacific region, we now see that all three of our sales regions are growing nicely. Many similar trends causing that growth across the regions. APAC stands out to still as being a bit different though, that really comes from a significant volume of the manufacturing of semiconductor and electronics CapEx equipment is done in the APAC region. And that is meaning that demand for our encoders is very strong there. We also see a lot of manufacturing of consumer electronics happening there, and that is pulling on demand for particularly our Equator flexible gauge, but also for machine tool probes. What we are also seeing is these general drivers in all of our regions, what we are seeing is machine tool investments. So machine tool consumption going up, meaning increased sales through machine tool builders of our machine tool probes. Our AM strategy is really working with repeat orders for our AM machines by the same customers, so that key account strategy working nicely. We are seeing increased investment into the automotive EV, clearly a lot of investment going on and also a recovery in the aerospace market and more investment there. And this is really good driving growth in our REVO system, the 5-axis technology for highly productive CMM measurement. And we are also seeing increased industrial robots, which is good, particularly for our magnetic encoders. Okay. I will now hand over to Allen.
Allen Roberts: Thank you, Will, and good morning, everybody. As Will has already mentioned, we have experienced a very strong performance this half-year with significant growth in revenue, profitability and cash generation. Due to the skills and dedication of our people, the Group has maintained strong customer support, global supply chains and all other business operations throughout this period of record first half revenue and order intake. Revenue amounted to £325.2 million compared to £255.1 million last year, an increase of 27% or 30% at constant exchange rates. Adjusted profit before tax is £84.2 million, a record half-year profit and compares with £43.4 million in the prior year, mainly as a result of the additional gross margin from revenue growth. This gives a return on revenue of 26% compared to 17% for the previous year. Adjusted profit before tax is one of the key performance measures used by the Board to monitor the underlying trading performance of the group and the following items are excluded from adjusted profit before tax. Losses of £2.9 million from forward contracts mostly use U.S. dollar denominated deemed ineffective for cash flow hedging compared with gains of £20.5 million in the previous year. These gains and losses have no impact on our cash balances and no additional contracts have been designated as ineffective this year. And credit of £0.2 million for third-party advisory fees relating to the formal sales process in the current half-year only. The results in statutory profit before tax was £81.5 million compared to £63.9 million last year. The effective tax rate for the half-year is 15.9% compared to 18% in the previous year, representing a best estimate of the full-year effective tax rates by geographical territory applied to the half-year profits. The reduced effective tax rate mainly arises from a forecast increase in the UK Patent Box benefit from nil in the prior year. Earnings per share on an adjusted basis is 97.2p, up from 49.2p last year. And on a statutory basis is 94.2p from 72.1p last year. The Board has proposed an interim dividend of 16p per share, a 14.3% increase over the last year's 14p per share. Income statement. This slide presents detail of our income statement and the profit bridge shows the movements that reconcile the adjusted profit before tax of £43.4 million for the last half-year to the £84.2 million this year. We have seen a £46 million improvement in gross margin excluding engineering costs, mostly attributable to the increase in revenue. Our gross margin of 35.5% of revenue is similar to the previous year. However, we have seen an increase in the cost of some purchased items, particularly electronic components, aluminum and steel, and an adverse currency impact, which have been offset by improved efficiencies resulting from higher production volumes. The Group headcount has increased during the first half of the financial year and was 4,975 at the end of December 2021 compared to 4,664 at the end of June 2021 and 4,324 at the end of December 2020. The increase since June mostly comprises manufacturing staff to ensure we have sufficient capacity to meet demand and also an intake of 127 graduates and apprentices. Labor costs, excluding bonus provisions and prior year overseas job retention grant income, were £115.1 million in this half-year compared to £102.4 million last year, with an average headcount in the first half-year of 4,832 against the previous half-year of 4,371. More on this topic will be covered by Will later on. We remain committed to our long-term strategy of developing new innovative and patented products to create strong market positions and incurred net engineering expenditure of £37.8 million in the first half compared to £37.2 million last year. Certain other operating costs, such as travel and exhibitions, are higher this half-year compared to last year as some restrictions relating to the pandemic have been lifted. We have also experienced an increase in other overhead costs, including higher utility costs due to rising energy prices and higher usage, and another third-party administrative cost rises due to the current inflationary pressures. Turning to cash flow. This bridge tracks the movements from our opening cash and bank deposits balance of £215 million at July 1 to the closing position of £222 million at the end of December. Our operating profit before non-cash items and research and development costs gave a cash inflow of £122.6 million. We have seen a net £17.9 million cash outflow from changes in working capital, primarily relating to an increase in inventory levels of £22.3 million. This reflects increases in global demand and planned uplifts to strategic safety stock levels to mitigate global supply shortages. This has been partially offset by a cash inflow of £5.4 million following an improvement in debtor days. Significant cash outflows relating to our capital allocation strategy include £27.9 million of R&D costs, £13 million of CapEx, including intangibles and £37.8 million of dividends paid. Other significant cash outflows include £10.4 million tax payments and £4.4 million of pension scheme funding. Turning to capital expenditure. Of the £12.2 million capital expenditure in the first half, £8.5 million related to plant and equipment, primarily to support our manufacturing processes and IT infrastructure, and £3.7 million on property for completion of our new distribution facility in South Korea, providing demonstration capability for our capital goods products. We are planning to increase our capital expenditure in the coming 18 months, including new production equipment and property expansion at our Miskin site in South Wales to support future business growth. We have detailed planning permission for two additional holes, which will roughly double the space available for production at this site. The first phase of this development could result in spend of up to £20 million in the next financial year. I will now hand back to Will.
William Lee: Thank you very much, Allen. So if we look at sustainability, clearly, this is a key for us. As with every business going forward, we are committed to a net zero emission target of 2050. Hopefully, we will bring that further forward when we understand what is required better. We are continuing to invest here. So we do get majority of our global electricity from renewable sources, but we are also investing in our own solar panels and we will continue to do that. You can see here in the picture, actually investment going on in our Dublin manufacturing facilities with new solar power panels being installed. One of our real challenges of this half has been really ramping up our manufacturing capacity to meet the demands of our customers. That's a huge effort that’s going on by our global manufacturing team. We've done an absolutely amazing job of ramping up our capacity. We've grown and continued to grow our manufacturing headcount. We've been really working closely with our suppliers, making sure that we can keep the supply chains going on critical components. We've done a really good job. So clearly there are cost pressures on some components coming in, but actually we've really offset that and kept our gross margin stable by looking at manufacturing efficiencies and productivity improvements ourselves. What we are seeing is now we are now starting to catch up with that rising demand. You can see that on the graph on the right, how the order book has been going up steadily quarter-by-quarter. What we have seen from a manufacturing point of view in terms of prices is as everybody has seen an increase in energy price, which will really cut in for the second half of this financial year, where we expect an additional £1.2 million worth of energy costs in the business. So we now take a look at our commercial strategy. Now for us going forward, the really important thing is we are looking at growing our market share. And what we have here is with a lot of our OEM products, which get designed in, our success rate here is really of getting new design wins. Now, this is a long process from introducing products, getting it tested and then getting it built and designed into our customer's products. This has been held with new products coming through and machine tool, for example, such as the NC4+ Blue. But one of a particular interest and is going very well for us is with our new enclosed encoder. This is really good from us from a growth point of view because it's a new market as well. It's a product we didn't line, we didn't have before. And what we are seeing is a very good uptake and adoption here, and this is as we ramp up our production capabilities of this new product. We are also complimenting this with the end user strategy that we talked about. We have become more focused here, more focused on key accounts, whether this is from a CMM engaging systems point of view or from an additive manufacturing point of view that strategy repeat business, as I talked about earlier is working well for us. To complement our direct sales force, which is still relatively small, we are looking then at how do we address more end users. And what we are doing here? So products such as the Equator, which is very much now gained market acceptance as being a fantastic shop floor gauge is we are looking at distributors and other people to sell the Equator directly to end customers for us. As part of this, we are looking at opening up the Equator and collaborating with others with their software packages, allowing customers to choose the software package that they want to program the Equator with. As COVID restrictions hopefully ease in the second half of the year, we are very much looking forward to getting a meeting in-person OEM and our end user customers all around the world. This is both in-person and at trade shows and exhibitions, which will be happening. This will result in an increase and we are factoring in an extra million pounds for the second half of the year relative to the first half for travel and exhibition spend. Okay. So if we now take a look at engineering and research, the pit start with here really is saying that the markets that we operate in as we've talked about, we feel how good long-term growth opportunities. And we also feel that one of our core competencies is research and development, and then taking that technology to develop really innovative new products. And therefore, our primary growth strategy over the next few years will be one of organic growth through exploiting the output from our R&D facilities. Now we have seen our R&D spend go down over the last couple of years. This was when we introduced our Fit for the Future initiative, which very much focused our engineering efforts and what we thought were really key new products for the health and long-term success of the business. We are now recruiting and we are planning to grow in H2 our engineering spend as we want to accelerate a number of these new programs. If we look at the breakdown of the engineering spend, there's a number of different activities that are going on here. We have a really important one of the process development and developing incremental changes in our products, keeping our product lines fresh and maintaining those product margins by making us more productive. We've also had a fair bit of resource in this area recently, making sure that when we have supply chain issues and we have to look at alternative parts that design teams are supporting that change to make sure those components are compatible and will work well and deliver quality products for our customers. What we are trying to focus on is more and more resource on major new products. Those that are going to make a real difference, both in established markets for us and in new markets where we come along with really patented differentiated new technologies. And then what we also have then is the research for the future. Typically, smaller teams looking at the technology that's going to power us and our growth over the next 10, 20 years. We've also been steadily increasing our investment into software, and we have some really important new products coming through in the future. These are focused on both making it easier for customers to program and use our products and also in terms of helping them do new things, controlling manufacturing processes better, and also then getting an insight and information from the data that they are generating during their manufacturing processes. If we now look at our people, first thing to say here, clearly, been a huge amount of dedication by everyone across the group in responding to the opportunities that we've had with the increase in demand from our customer. So a huge thank you there. And we have increased our workforce to respond to this growth. We have increased by over 300 people, whereas the majority has been in supporting the manufacturing capacity growth. We have been complimenting across the group with targeted increases and we will continue to do that going into the second half. We've also put a lot of effort in into employee development and retention. We've gone through quite a large benchmarking exercise in the UK to make sure that our pay is competitive. And then we've also been looking at how do we give everyone clear progression roots through the organization and making sure we are giving them the skills and development to succeed and do well. We are having a real focus on productivity across the group of continued focus. And this is looking at initiatives to help us increase the efficiency and making the most of all these very valuable resources that we have to make sure we maintain our operating margins. Now from a financial perspective, we will see our labor cost increase by around £6 million for the second half relative to the first half. This is a combination of recruitment, benchmarking, increased employer NI. Now part here is recruiting for the future. As we talked about, we want to invest here. We think we have the opportunity to do so. And therefore, we are planning to increase our headcount in the second half for these long-term opportunities. So looking forward, as we've talked about, we believe we are operating in very attractive markets with good long-term growth opportunities. We are therefore continuing to increase our investment for organic growth going forward for that long-term potential. If we look in the shorter term going for this financial year, we expect the markets to continue to be strong with those same drivers continuing. We therefore, putting out a revenue range for the full-year of between £650 million and £690 million. The profit we expect to be within the range of £157 million to £181 million. And over to you, Chris.
Q - :
A - Chris Pockett: Well, thank you. Good morning, everyone. Again, thank you to Will and Allen. We've now been joined by Sir David McMurtry for this Q&A session. We have around 35 minutes remaining. As ever I'll try to group similar questions together, so that we consequently that we may not answer all individual questions. We are going to start with a question from Mark Davis Jones. Good morning, Mark. Relating to R&D. The question is R&D spend was down slightly, despite much stronger revenues. Is this just a timing issue or should we expect R&D to sales ratios to remain lower than in the past, given your tighter focus on a smaller number of flagship products? And I think that one is going to go to Will.
William Lee: Thanks, Chris. So no, if we're going to – we have very ambitious five-year plan in place that relies on us delivering a number of new products through to the market and investing in R&D will be key to delivering on that. So Mark, as you say, we have focused on some more key flagship projects. They need more resourcing to accelerate those three – those through and also we have some nice new technologies coming through in earlier stage that we now want to accelerate as well. So we plan as we always have that the majority of our growth will be organic. So we will be investing and that's one of the reasons why our second half costs are higher because we are forecasting an increase in our R&D expenditure.
Chris Pockett: Okay. Thanks for that, Will. Now I've got a question from Anthony Plom. Good morning, Anthony. Thank you for the additional disclosure on end markets, very helpful! In manufacturing technologies, can we infer from this that 71% of Renishaw’s sales are direct to end customer? If so, what percentage would this have been five or 10 years ago?
William Lee: End up irrelevant of whether we have sold them direct to that end customer in which case we clearly know, where they – the end use or if they have gone through some form of distribution. So a machine tool builder or CMM builder, et cetera. So no, that is not saying that 71% of our sales are direct to an end customer. As like I mentioned, we do have a number of routes to market here, sometimes like with our encoders, when we're selling into some electronics capital equipment, we know that equipment is going to end up in the electronics market. Other times when we're selling machine tool probes to a machine tool builder, we will only really understand the end use if we are talking with that machine tool builder to understand roughly the ratios of where they are selling into. So this should be taken as our best guess as the end use of our products.
Chris Pockett: Thanks, Will. Another question here from Mark Davis Jones. Could you please explain the China export issue in spectroscopy? Is this ongoing? I think that's also going to be answered by Will.
William Lee: Yes. This is still ongoing. We think it's just a timing issue and nothing to be concerned about it, it's due to the process. I think that many educational customers for our spectroscopy in China claiming duty/VAT back on the product and there is paperwork to do in advance. So this has pushed things over into next year that we would've hoped we would've shipped – sorry into the second half that we should have hoped we would've shipped in the first half. So don't think there's anything to be concerned about, we think it's just a timing issue.
Chris Pockett: Okay. Thanks, Will. We'll stay with Mark's questions. It’s also a question on the new disclosure on end markets. He asked, could you comment on what you are seeing in automotive? There have been concerns in the past about the EV transition and declining ICE business. How are you seeing this play out in practice? And give that one to Will.
William Lee: Yes. So very interesting transition. So clearly, as we learned that there are going to be less machined parts in a pure EV vehicle, but a number of new metrology challenges with some of our products, Equator gauging, REVO are very well suited to measuring. So still in early days there, we're still finding and understanding their challenges. But the nice thing is that we believe there's going to be continued investment in that transition for quite a while. So that changed. We believe we’ll have probably changed some of the different bits and some of the different stuff in terms of products for us. But the investment there is really good for us.
Chris Pockett: Thanks, Will. Move on to a different questioner now. So good morning [Anthony Lynch], who joins us. He asks the order book demonstrates strong near-term visibility, but what gives the longer term confidence to double Miskin manufacturing capacity? And I think that one's going to go to Will to start.
William Lee: So just to clarify, we put planning permission into double the capacity that is two new holes, that is not saying that we will be doing both holes immediately. So we have the option to do one hole and the next, depending on how we see the plans going forward. What we do see with some of our newer products and products under development that they are larger than the traditional products that we are used to, even stuff that is quite traditional for us, like with the new FORTiS machine tool encoder that we talked about, actually the size of that compared traditional encoder is much bigger. So we are going to need more floor space to efficiently and productively manufacture these products. And we're still very much believe that keeping them close to our design facilities is the right thing to do. So this will be one of our decisions to make in the second half of this year. At the moment, our assumption is that we will do one hole immediately, and then depending on how we see demand going for the future, we may do the second one very soon afterwards.
Chris Pockett: Thanks, Will. We're going to stay with order book. And there's a question from Jonathan Hurn. Good morning, Jonathan. Is your order book visibility still around three months or is it currently longer? Any signs of double customer ordering in the order book? And are you seeing a return of large one-off orders? And again, Will is going to lead on that one.
William Lee: So this isn't been driven by large one-off orders. I think the interesting change probably from what we used to is in the position measurement order book, where we are seeing far more visibility there and guidance from our customers than we used to. And I guess this shows that the challenge they're having with all their supply chains not just in terms of getting stuff from us, but across the Board and what they are there for trying to do is to help with us and giving us more visibility there and scheduling. So yes, there certainly is a change from a position measurement encoder product line in terms of the order book visibility going out further. But a lot of the other stuff is more normal and just strong demand – sorry, in terms of double ordering and whatever, so how much are people trying to over order. Honestly, we never really know, but we don't believe. So we believe in general the stuff that we are seeing is genuine for very strong demand.
Chris Pockett: Okay. Thanks, Will. We'll stay with another question from Jonathan. How much are you looking to increase headcount in the second half of the year and what specific areas has been the focus of retention payments? Start with Will on that one.
William Lee: So if we just clarify the retention payments, so that has been a benchmarking if these aren't sort of awards that vest over time. So this is us benchmarking, understanding where we are paying relative to the market and making adjustments there, and that has been across the Board with the UK focus at the moment, which has been very well received and has been a good exercise for us to go through. In terms of headcount increase in H2, then we're looking probably at recruiting another couple million of headcount costs for the second half. And this is now on really targeted investments, accelerating new product development plans, key commercial activities that we want to achieve and with some manufacturing headcount increase where we are still trying to ramp up and accelerate some of the product manufacturing capabilities.
Chris Pockett: Okay. Thanks, Will. Question here from Henry Carver. Good morning, Henry. Market share gains, where does Renishaw Manufacturing Technologies segment stand versus competition in terms of one, pricing and two, software capability?
William Lee: Okay. Thank you. So let's do the two easy ones to start with. So position measurement with our encoders, there is no software that goes with that. So that's very much a hardware product line. That's a fairly simple one. But the calibration side of that, we do have excellent software that goes with that. Additive manufacturing, our role there again, is to be the best hardware supplier with the software that will sit in the background can make sure we get the most out of the hardware. So that's quite an integrated, but we don't intend to be the leader there in terms of the programming like the CAD/CAM software for AM. So again, quite a clear situation there. With the industrial metrology area, clearly, this is different and traditionally we have been more competitive, stronger as a traditional hardware manufacturer. We have, as I mentioned, been investing quite a lot in software here and focusing on areas which we believe can be quite disruptive with ease of use and data. Again, this is quite a broad picture across the different industrial metrology lines from machine tool where we have a huge install base of our macro software all around the world, which is maybe different to some of the situations on some of the newer products like Equator. As I said, there are a number of different software packages out there and we are collaborating with more of them now. So in terms of pricing, again, this varies across the Board on the different areas here. In general, though, we tend to be a – we are suddenly not going after the cheap end of the market and we are offering a premium product and what it can do, and we would look to charge our customers for that premium offering.
Chris Pockett: Thanks, Will. So question now from Sanjay Jha. Good morning Sanjay. There's a question about our Equator gauging system. Question is, you mentioned the need for compatibility with multiple software vendors. Is this a shift in the market? And I think that one is going to go to Will as well.
William Lee: I'd say it’s a shift in our strategy. If you look at our history with Equator, one of the challenges sometimes of coming up is something that doesn't exist before it is that you need to grow and people understanding of their need for it, that product and what it can do for them and the early stages of the Equator we are doing that. Over the last few years, it's been a very much accepted as a key part of a manufacturing machine shop. So we've seen the acceptance of Equator really take off. So our strategy has been now how do we maximize our sales of Equator with a relatively small end user sales force of our own within Renishaw. And this is meant that we've been looking at getting other people selling Equator for us and meeting the pull of the customers. Now with this, some of the customers will want to use it with our software. Others may already have other software that we are using. What we are now saying is, look we are happy, we will allow other people to celebrator and support it with the customer's choice of software.
Chris Pockett: Okay. Thanks, Will. Here's a question again from – that's first question for Robert Davies. Hello, Robert. How receptive are your additive manufacturing customers to purchasing your AM machines versus wanting to outsource the work i.e. getting you to produce their AM parts for them? And I'll put that one over to Will.
William Lee: Okay. So we won't make production AM parts for customers, that's not a service we offer – we do. What we will do is clearly at the early stages of working with a customer, who's looking at really accelerating and developing AM capabilities. Then we will support them by making initial parts for them. And we may also host some of their early machines that they have bought here so we can support them before they are ready to host those machines at their own facilities. Now if a customer is interested in additive manufacturing and wants to get the benefits that they can bring with design and productivity that that comes with additive manufacturing and getting that from our machines, but they don't want to invest in the manufacturing infrastructure themselves, then they can clearly go to AM subcontractor, use our machines there so we can help them with that journey. But that's not an area of the market that we want to get into ourselves. We are clearly going to be focused on making the best machines, the most productive machines that will grow powder bed fusion very well in the future.
Chris Pockett: Okay. Thanks, Will. We're very late on questions today, I have to say. I'm sure, Allen, also David would appreciate the question. But there's one here that actually I can answer. There is a question from Sanjay Jha, again. Thank you. Just asking, is there a copy of the presentation in the website? It will be, Sanjay, also a recording of this presentation for the whole webinar with the presentation of the Q&A session will be available. We'll try and make that by the end of the day, but certainly, by tomorrow morning. So you can go through again, obviously for those people unable to attend, then they can also listen as well. Yes, we have another question. And this one is from Anthony Plom. Saw the HiETA sale to Meggitt. Is this a one-off? Or are there any other parts of business that you'd consider selling? We are going to start with Will on that.
William Lee: Yes. We're very pleased selling our stake in HiETA, it’s a really good home with Meggitt and look forward to supporting HiETA and Meggitt very closely as a supplier of additive and other technologies to them in the future. So at the moment that's the only thing we were planning in the immediate future. So very pleased to get that done, but nothing else that we're working on at the moment.
Chris Pockett: Okay. Thanks, Will. Another question here from Robert Davies. Six or seven, the last half years have seen positive medical margins. What has structurally changed here versus a few years ago? And that one is going to…
William Lee: Okay. So with our – the medical side, we have there – we have a slight change with selling our business in RDL, the diagnostics business which helped profitability there. We also made some changes, which I think we talked about in the past with our neurological business and our focus there is saying that really the strong future there. And the opportunities is on the collaboration with large fiber companies in terms of developing therapies with them and supporting them doing that for which we get paid as part of the program. So that focus of the neuro group has certainly helped the margins there as well together with a nice, steady, good growth on our existing strategy with our spectroscopy business.
Chris Pockett: Okay. Thanks, Will. We've had a number of questions coming. Thanks for those. And here's one from David Robinson. Good morning, David. Can you give any indication of any change in the demand or requirements for your products from EV cars versus conventional cars? I’m going to start with Will on that one as well.
William Lee: Yes. So I think within our industrial metrology group, what we may see over time is a shift from maybe as there's less machining operations, potentially less machine tool probes, although a lot of these operations were quite automated not using machine tool probes already from the processes that they were using particularly on the cylinder blocks towards more of a stronger demand for the Equator, and new products that we'll have coming out there in the future and engaging our REVO product line. So we are seeing a good engagement with customers there, the same productivity benefits that they bring to traditional ICE manufacturing carryover into EV. What we're also seeing and this is a REVO-1 is that some of the parts where they don't need to be touched, actually the REVO with vision is complimenting the touch there as well. So as I said, I think it's still early days from the EV market in terms of maturity of understanding metrology requirements, but we think we've got some good flexible offerings that will grow there over time.
Chris Pockett: Thanks, Will. Allen has been waiting patiently, and I think this is one that he can finally get his teeth into. Question from Richard Paige. Good morning, Richard. Thank you for the guidance on additional workforce costs in second half. Q4 profitability last year was impacted by additional bonus accrual. Should we assume that these costs are better smooth this year? So I'm going to push that one across to Allen.
Allen Roberts: Thank you, Chris. Thank you, Richard. Yes, we have factored in additional bonus accruals, which do occur when we know what the year end results are. So they have been factored into our profit range as disclosed in the statement.
Chris Pockett: Okay. Thanks, Allen. And question here from Robert Davies, again. Have you seen any changes in terms of threats from competitors or new market entrants? Is it getting any more challenging to protect your IP? I think we'll start with Will on that one.
William Lee: So no, it's still fine to protect IP. The patents department here and our internal patents department are still very, very busy with a backlog of ideas that need to come through for our new inventions. So that's absolutely still part of the strategy and they're still working. In terms of competitors, new market entrants then – nothing that stands out, I think that to bring attention to it at the moment now.
Chris Pockett: Okay. Thanks, Will. Question here about inventory from [indiscernible]. Can you talk about the inventory situation in the channel and your customers maybe end customers? Thanks. And again, Will.
William Lee: So maybe if I talk through inventory in general. So clearly, we have been doing inventory work in progress as we respond to the rising demand. We would still like to have more particularly on such products are encoders to really accelerate the growth. So we think we can do that. So we will be focusing now on this half. In terms of then the inventory of that we see with our customers and end customers, it feels like everything is still quite hand to mouth. So with our customers getting products to their customers, so I don't think there's a large stockpiling. But look, we're probably not the experts and the right people to ask that, but it doesn't feel that's the situation at the moment.
Chris Pockett: Okay. Thanks, Will. There's another question from Richard Paige. A number of your peers and customers have spoken about the impact of component shortages on sales growth. To what extent did these impact your first half performance and may impact a second half? Will, are you going to start with that one?
William Lee: Yes. So component shortages is a major challenge. It is something that our manufacturing and product design teams have done a great job to make the most in a really tricky situation. So we have had to divert design engineering resource on to making sure that when we run into a component shortage, that we can look around and find alternatives for that, so that we can keep production going and our customers support it. And we have done a great job of making sure that is happening. Now, clearly that has made us less productive with having to do this work and that has impacted in terms of our engineering spend. Now in terms of getting product out and what was the impact in our first half. Then we for sure we would have shipped more of our order book, if we could have shipped more product at the moment. So it's hard to put it exactly into how much that was due to component shortages because generally we'll find a work around for that. In terms of H2, going forward, I should say, we do have a wider range than usual at this time of a year, we've gone up to £40 million. Some of that is factoring in, uncertainty both on our supply chain and also the concern that our customers maybe – even if we can, if we supply to them well, they maybe let down by other suppliers and therefore, the demand maybe softer than the market is requesting. So our sales will be less.
Chris Pockett: Thanks, Will. Another question from Jonathan Hurn. Can you give us some more color on the assumptions made to get to the guidance range, particularly the upper end? For example, what visibility do you have? What is it assuming for end markets such as automotive and aerospace and also what cost inflation does it assume? We'll start with Allen – Will, my apologies.
William Lee: Okay. So let's start with the turnover range here. So as I just mentioned, we have factored in a little bit more uncertainty there than normally at this time of year although it is on a higher number. So what we have in there is uncertainty on timing for larger orders that may come through at the end of the year. We have uncertainty that have talked about in terms of demand for some of our position measurement line, in terms of our ability to supply and also our customers ability to get products from other people and also from their own uncertainty from the demand from their customers. So we have tried to be a little bit broader this time to reflect that and we will see in a quarter’s time, how much of those things have come through. In terms of specific stuff with automotive and aerospace, that's probably more steady state. So I don't think they are the largest areas of uncertainty that we would have there. In terms of cost inflation, we've talked to some of the parts during the presentation of bringing up where we have increased overheads for the business in terms of things like the heat, light and power. We've also put in more for travel as we're looking forward to getting out and meeting customers both at their facilities and also at trade shows. And we have also going to see the impact of the cost base increases with labor costs that we talked about in the first half. And also, we are planning now to be increasing our – particularly our engineering headcount in this second half. I don’t know if anything, Allen, you want to add.
Allen Roberts: Yes. I would just add to that the costs have been factored into the forecast as Will just mentioned, but also, of course, our margin is such that it has a big impact on revenue forecasts. So they're factored into the projections and the forecast going forward.
Chris Pockett: Thanks, Allen. Question goes to David. Actually, I'm sure he is delighted of that. It's from Mark Davis Jones again. So David comment on where he maybe focusing in terms of longer term R&D projects and technology development, and what is the next big thing he sees on the horizon for manufacturing technology?
David McMurtry: Well, I've been keeping out of Will's hair and focusing solely on additive manufacturing and the present book of our offerings are very much in small batch size of things. But the future is the price per part and when it comes down, potential for additive manufacturing is enormous. There's no tool need to be sharpened. There's a lot of advantages and the price per part is coming down really rapidly and then that will really take off in my view in the future.
Chris Pockett: Okay. Thanks, David. Okay, there is another question for Anthony Plom. Has there been any progress in the neurology business with regards to winning more partners? And the very similar question actually from [indiscernible], is it possibly give a bit more granularity around the clinical trials for the healthcare division, any timeframes? So I think we're going to push that one towards, Will.
William Lee: Yes. Thank you. So look, as I mentioned, the trial we talked about it before, unfortunately, although our product worked well that there was an issue with the drug. The really good part about this, it showed a framework that we have now in place where a pharma can engage with us, work with us on that drug with our drug delivery technology. We have a number, which is less than 10 of potential pharma accounts that we are discussing and working with. None of those are actively going now with an agreed longer term plan, but some are coming through and we're doing in early stages with them and working well. So we really hope this is going to be something over the next 12 months, we’re in a place where really these are starting to accelerate.
Chris Pockett: Okay. Thanks, Will. We've had a couple of questions around the combined shareholding for Sir David and John Deer, the company founders and anything that we can say on that. What options are being considered? There's a couple of questions there – similar question, so it's from [Edward Peter Hawkline]. Good morning, Edward, and also from Jonathan Hurn. I think that one is going to go to Will.
William Lee: Yes. So look, unfortunately, we've tried to be a bit more open and give a bit more information out today on some of the end markets some additional information. This is one that we really can't talk about. All I can say from talking with David and John is they're very much aligned in terms of wanting to find the best long-term future for Renishaw. But unfortunately, more than that, we really can't say today.
Chris Pockett: Okay. Well, that's the end of the questions, and perfectly the end of the session at bang on 11 o'clock. So thank you, everyone for joining. As I said earlier, we will aim to publish a recording of today's presentation and Q&A session on the IR section of our website by tomorrow morning at the latest. So just on behalf of Renishaw, I'd like to thank you all for attending this event. Hopefully, it's been a value to all of you that have attended. And finally, just a reminder that you will be able to download a copy of the interim report and copy of the financial presentation later today from the IR pages of our website. So again, thank you for attending, and have a good day.